Alexandre Bompard: Ladies and gentlemen, dear shareholders, thank you for attending our Annual General Meeting today. For the second year in a row, we are meeting under unusual conditions. The COVID-19 crisis is still ongoing and the health situation does not allow us to meet face-to-face. The only people with me at our headquarters in Massy are Mr. Stéphane Israël, who is the Director of our Board of Directors; and Mr. Philippe Houzé, who is Director and Deputy Chairman of the Board of Directors. I would like to thank them for their presence here today. Mr. Laurent Vallee, also here with us, the Group Secretary General; and Ms. Matthieu Malige, our CFO. Finally, Mrs. Caroline Bruno-Diaz of KPMG, representing the Carrefour statutory auditors. To constitute the Bureau of our meeting, I propose the 2 shareholders present as accepting to act as tellers. In Galfa, represented by Philippe Houzé; and Mr. Stéphane Israël. And I propose Mr. Laurent Vallee as Secretary of the meeting. During this meeting, we will present our 2020 results and the key figures for the first quarter of 2021, our group CSR objectives and changes in its governance. I will now hand over to Laurent Vallee to take care of the regulatory reminders and to explain the agenda.
Laurent Vallee: Thank you, Alexandre. Ladies and gentlemen, you are hereby convened to the ordinary and extraordinary general meeting following the invitation sent to registered shareholders by post. On May 3, last, a notice published in the French legal gazette, BALO, on the 14th of April 2021 for the prior notice of meeting; and in the Legal Gazette [Foreign Language] on the 3rd of May 2021. As it's been said, our meeting will be held behind closed doors without the physical presence of the shareholders pursuant to Article 4 of the Ordinance No. 2020-331, adapting rules for meetings and the durations of shareholders' meetings as extended by the creating of the 2021-255 on the 9th of March 2021. In order to fuel our discussions, a question-and-answer session will be held on the basis of questions received, and via the dedicated email address, which you could access from Wednesday, 19th of May, about yesterday. No questions, however, were received by the company. With regards to the written questions, in accordance with the French commercial law, the answers of the Board of Directors to the written questions of the shareholders have been published on the comments on the slide. The agenda consists in its ordinary part of 21 resolutions. The first 3 resolutions concern the approval of the corporate and consolidated financial statements as well as the allocation of earnings and the fixing of the dividend. The fourth resolution concerns the reports under regulated agreements. Resolutions 5 to 13 deal with the governance of the company and the renewal of the mandates of 9 directors. Resolutions 14 and 15 deal with the mandates of the company's auditors. Resolutions 16 to 19 deal with the remuneration of corporate offices. Resolution 20 authorizes the Board of Directors to trade in the shares of our company. Resolution 30 deals with the powers to carry out formalities. The extraordinary part of the agenda comprises 9 resolutions. Resolution 21, allowing the Board of Directors to reduce the capital via share cancellation. Resolutions 22 to 28 concern financial authorization, capital increase, maintenance of preferential subscription rights, capital increase reserved for members of the company, savings plan, et cetera. Resolution 29 authorizes the Board of Directors to proceed with a new share allocation plan. The company has not received any request to include draft resolutions in the agenda of the meeting. Finally, all legal documents have been submitted to the Bureau in accordance with legal provisions. The Bureau acknowledges that the documents are in order. The documents and information referred to in Article R. 22-81 and R. 22-83 of the French Commercial Law were sent to shareholders who requested them. The same documents and those referred to in Article L. 225-115 following of the commercial code, were made available to shareholders at the registered office within the legal time limits as well as the auditor's report and the list of registered shareholders during the 15 days preceding this meeting. I ask you to fully acknowledge these declarations to Mr. Alexandre Bompard. As the total number of shares held by the shareholders present are represent -- or represented, sorry, amounts to [ 550,260 ] shares, i.e., 64.192% of the shares with voting rights. In the case of the ordinary shareholders meeting and to [ 540,880,488 ] i.e., 64.152% of the shares with voting rights. In the case of extraordinary shareholders' meeting, the quorum required for the regular proceedings of the ordinary extraordinary shareholder meeting is, therefore, met.
Alexandre Bompard: Thank you, Laurent. Before moving on to the various presentations, I would like to look back on 2020, a year of great challenges and achievements for my group. And I'd also like to outline the prospects that lie ahead for Carrefour. 2020 will be remembered for the unprecedented outbreak of a very large-scale pandemic in our daily activities, a pandemic that none of us thought would last as long as it has. It is still on -- going on almost 500 days after [ it surfaced . And its economic and social consequences continue to develop in almost all the countries where we are present. We had to meet the challenging 2020 in circumstances that were serious and difficult for everyone. We had to protect our teams and our customers and ensure security of a surprise. We had to increase the intensity of our multi-format and omnichannel offer, while ensuring with the help of our partners, the reliability of our operations. Finally, we had to speed up our decision-making processes and simplify our organization, while maintaining the quality of social dialogue within our group. And so we did. I believe we did so in a spirit of responsibility and solidarity at every level of our group, from our governance bodies to our teams on the ground. I would like to pay tribute to them for their commitment. We also did so without giving up any of our ambitions with regards to the food transition for all. For the third consecutive year, our CSR and food transition index has improved with a score of 115%. We will continue to do so in 2021 with the same level of extreme health vigilance, with the same attention to our social role, as shown by our commitment to recruit 15,000 young people in France this year, half of whom will come from disadvantaged areas. It should be health, safety solidarity, that continues to drive our group's action. I would like us now to take a look at the commitment of the men and women of Carrefour in serving our customers during the past 500 days of health crisis. [Presentation]
Alexandre Bompard: Dear shareholders, a year ago, standing in front of this General Assembly, I told you that this crisis was not just a blip. It has changed the environment in which we operate, generated lasting effects on the behavior of our customers, accelerated changes in the sector and widened the gap between players. Our group has entered this process on a very solid fitting, thanks to the strength of our transformation. Our group has turned a corner. This is an observation based on our results. They are very solid. We had one good performance after another, quarter after quarter. And our model is one that ensures that our sales are dynamic, that our group is profitable, and that it is financed at a higher level. Our sales have seen their strongest growth for over 20 years at plus 7.8% in 2020. This excellent sales momentum continues in 2021 as our first quarter sales increased by 4.2%. We are undoubtedly operating in a market that the COVID-19 crisis has driven up. But I see that we are outperforming the market and gaining market share in our core countries. This is particularly true in France. All our formats grew last year, especially hypermarkets. And in the first quarter of 2021, we recorded our best market share growth for 5 years. Dear shareholders, business is good in our key countries, and we are further consolidating our positions there through expansions and acquisitions in France, with the Bio c’ Bon shops; in Spain, with the Supersol shops; and Brazil, with the Makro shops. Not forgetting, of course, the acquisition of Grupo BIG announced in March, which opens a new page in Carrefour's fine history in Brazil. This acquisition is a major transformation for Carrefour Brazil and an additional opportunity for growth and value creation for our entire group. More importantly, our growth model is sustainable. It is based on 2 decisive factors: customer satisfaction and new consumer trends. A year ago, I announced that 2020 would be the year of customer satisfaction in all our group's countries. The results are in. After increasing by 8 points in 2 years, our group NPS has gained 12 points in 1 year and 16 points in France. This is a very steady pace, which shows how much customer focus is embedded in our practices. It is a pace that will continue as we aim to achieve an NPS of plus 30 points by 2022. In addition to this continuous increase in customer satisfaction, we have a commercial offer in line with new consumer trends. In this respect, the COVID-19 crisis has not only confirmed the strategic choices, it has also accelerated them and made them more differentiating. Our food e-commerce offer is an increasingly valuable asset. More than 1.3 million new customers converted in 2020. Our sales increased by 56% in the first quarter of 2021, more than doubling in the last 2 years, with better service. And we are gaining market share. This outperformance is due to the infrastructure and expertise we have built up in recent years. We will reach 2,000 e-contact points in France. It is driven by the sustained expansion and network of partnerships. And with e-commerce, it is the value promise of our entire offering that continues to grow. In line with our mission to serve the food transition for all, we're offering high-quality, environmentally-friendly products and strengthening our leadership in the organic market. At the same time, we are significantly improving our price image through better design promotions and more targeted marketing strategies. And we are winning over new customers by constantly adapting our formats and offering an innovative and attractive private label in each of them. All of these advances are having a very positive impact on the financial health of our group. In 2020, our group, once again, improved its profitability with the current operating income up by more than 60%. This result is all the more solid as our services, particularly in financial services as well as our sales to professionals in Europe, faced strong headwinds. The increase in our operating profit was, therefore, mainly due to a very strong contribution from our distribution activities, including our e-commerce activities, thanks to high volumes and productivity. Another factor contributing very positively to our profitability is our financial discipline. In 2020, we achieved the ambitious target of EUR 3 billion in savings that we have set ourselves -- that we had set ourselves, I'm sorry. This virtuous dynamic is continuing, and we have defined an additional full year savings target of EUR 2.4 billion by 2023. Our liquidity management has reached an inflection point. We have generated a net free cash flow of more than EUR 1 billion in 2020. This is a result that we will maintain over time as we have committed to achieving a net free cash flow target of more than EUR 1 billion each year. Based on the successes and the solid outlook for the group for [indiscernible], your Board of Directors has decided to make our dividend policy more attractive. We are ensuring that the dividend for 2020 will be paid entirely in cash. And we are normalizing the amount of the dividend after last year's reduction by half due to the COVID-19 crisis. An amount of EUR 0.48 per share is disposed for the 2020 financial year. And it is likely to increase in the coming years. Finally, and as a further sign of our confidence in our ability to finance all our priorities and generate liquidity, we have launched a share buyback program of up to EUR 500 million. This decision by your Board of Directors is a good allocation of our capital in current market conditions. These new commitments are in addition to the objectives of our Carrefour 2022 plan, which I have prepared before you. And as we approach 2022, we are in a strong position. I would even like for a moment to step over this 2022 stage to share with you some of our group's major prospects. The renewals of directorships submitted to your meeting, invite me to do so. And their approval will allow our group to look ahead with serenity. It's proposed that you renew a Board of Directors that has a balance of experience and skills, offers strong guarantees of independence, and has demonstrated its commitment during these 500 days of crisis. I would actually thank all the directors who are ready to recommit themselves to the Board and to the service of Carrefour. And I would like to thank each and every one of you, dear shareholders, for the confidence you have shown within me as Chairman of your Board of Directors. At a time when I am submitting to your vote for the exercise of a new mandate, I also wanted to tell you of my extreme motivation and my determination to make Carrefour progress further. I would like to associate the entire team around me with this, which includes great talents. Collectively, we know that we can build on the very significant achievements of recent years. We have moved a lot. We have transformed a lot. But at the same time, the extremely competitive market has also evolved at full speed. In our sector, transformation, innovation and the ability to be on the move are essential. If you please would trust me again, I will make the second term of office an ambitious one. I will approach it with the desire to further improve our performance and with a few clear convictions in mind to achieve this conviction. Number one, raise the bar of -- on operational excellence and customer satisfaction. We have solid fundamentals, but we need to build on them. This is the basis of the business. This is the foundation of success. My second conviction, grow our omnichannel model, accelerate it, make it more fluid and optimize its profitability. A few years ago, e-commerce was a threat for us. We have turned it into an opportunity. Even more so, we have made it a decisive element of differentiation in the market, and we are conquering it. The same applies to the knowledge of our customers and the use of data. This is a tremendous source of growth that we are actively exploiting. My third conviction, to be more and more a multispecialist. This evolution is rooted in the new reality of consumption. Customers are gaining expertise, forming very lively communities and their consumption habits are increasingly specialized. We need to build a tailor-made offer to provide them with the recognition and detailed understanding of their needs that they are entitled to expect from us. My last conviction, strengthen our leadership in the food transition for all. This is very much alive within our group through our global fight to curb deforestation, reduction of our carbon footprint, our zero waste road map, and many other very concrete initiatives. Laurent Vallee will present them to you in a moment. The food transition is already what sets Carrefour apart today and is in the backbone of the consumption model we are building for tomorrow. Dear shareholders, Carrefour's situation and outlook are those of a group that has achieved a very good mastery of its operational, commercial and financial models. A group with a solid balance sheet and significant resources to finance its profitable growth model. A group that acts forcibly in the service of its raison d'etre and creates value for all its shareholders -- stakeholders, sorry. Dear, shareholders, as you can see, your group is looking to the future with great confidence. This confidence owes a great deal to the daily support that you give us. I would love, once again, to thank you for this. I will now hand over to Matthieu Malige, who is our Executive Director of our Group Finance and Management. He will give you a more detailed presentation of the 2020 results and the highlights of the first quarter of 2021.
Matthieu Malige: Thank you, Alexandre. Ladies and gentlemen, good morning. I am very pleased to present the main results of your group for the financial year 2020. These key figures show a strong improvement. They both reflect a very good commercial activity in the unprecedented context of the COVID pandemic as well as the fruit of the efforts made over the last 3 years as part of the Carrefour 2020 plan to improve financial performance. Consolidated revenue grew by 7.8% like-for-like, a clear acceleration on the 3.1% growth posted for 2019. It is the best growth in several years. This excellent performance is based on a strong improvement in customer satisfaction, with a Net Promoter Score increasing by 12 points over the year. Current operating profit, or ROC, reached EUR 2.1 billion at constant exchange rate. It increased by 16.4%. Net free cash flow tripled to EUR 1.56 billion from EUR 324 million. Let's start with turnover. In 2020, all quarters experienced a sustained growth rate between plus 6% and plus 9%, where, as you can see, a clear acceleration in the second half of the year. This demonstrates the strength of our growth [ byline ] over the year. Regardless of the health constraints, it is a reflection of the tremendous capacity and adaptability of our teams. This strong momentum is supported, in particular, by the main strategic pillars I identified very early on -- in the Carrefour 2022 transformation plan. On the one hand, food e-commerce is growing by more than 70% in 2020. With an increase of more than 50% in France, 70% in Spain, and it has more than tripled in Brazil. Carrefour is also benefiting from the investments made in what we call the growth formats, namely convenience stores, cash and carry, and [indiscernible]. Since the beginning of the plan, we have opened nearly 1,900 convenience stores. Furthermore, the success of organic products is confirmed with turnover continuing to rise, reaching EUR 2.7 billion in 2020. In other words, twice that achieved in 2017. Lastly, Carrefour branded products, which are vectors for quality and price image, are continuing to grow steadily by 2 points per year, reaching 29% of sales. Let's take a moment to look at lowering costs in January 2018 when we launched the Carrefour 2022 strategic plan. We set ourselves a target of reducing costs by EUR 2 billion by end of 2020. Quarter-after-quarter, we have achieved these savings at a high rate in all countries, far exceeding our initial ambition. We have finally achieved EUR 3 billion in savings by the end of 2020. Basically EUR 1 billion better than originally planned. Challenging costs, improving productivity, avoiding unnecessary expenses, being more agile is part of our team's daily work. This has enabled us to set a new target of EUR 2.4 billion savings -- additional EUR 2.4 billion savings by 2023. It relies on a new efficiency level, both on merchant and nonmerchant purchases. Current operating income reached EUR 2.173 billion in 2020, an increase of 16.4% at constant exchange rate. This development reflects the excellent state of affairs in the distribution activities, whose profitability is up by EUR 630 million at constant exchange rate, reflecting strong sales momentum, operational excellence and lower costs. This trend is visible in all geographies, with an increase in ROC from distribution activities of EUR 160 million in France, EUR 150 million in Europe, and EUR 280 million in Brazil in 2020. Another highlight of 2020 was the growth of food e-commerce, which contributed positively to the improvement in operating profit and operating margin. This represents a major step in improving our e-commerce business model. Growth in distribution activities was partly offset by a decline in the contribution of financial service and market services against the background of the economic crisis and health restrictions. Let's now look at the bottom of the income statement. Starting with the net profit, the group share, adjusted for exceptional items, EUR 1.011 billion, an increase of EUR 154 million compared to 2019, and primarily reflects the improvement in the current operating profit. The sharp reduction in exceptional expenses as 2020 saw fewer reorganization projects than 2019. Financial fees are down, thanks to the refinancing operations carried out throughout the year. The normative tax rate decreased by 31.4% to 30.1%, reflecting the change in the geographical mix and the lower tax rate in some countries. Finally, adjusted earnings per share adjusted drove by more than 15% to EUR 1.26. As I said in the introduction, Carrefour has significantly improved its cash generation in 2020. The excellent sales momentum, combined with financial discipline, resulted in net free cash flow generation of nearly EUR 1.1 billion, up by more than EUR 700 million compared to 2019. We made net free cash flow a key indicator for monitoring performance. It is the cash generated after all expenses, including exceptional expenses, financial expenses and taxes. This cash generated allows us to pay dividends, to make acquisitions and buy back shares. Thanks to the success of our transformation plan and trusting in its momentum, we set a cash flow -- free cash flow target in excess of EUR 1 billion per year as of 2021. In 2020, net debt was reduced by almost EUR 300 million at constant exchange rate. It is at EUR 2.6 billion as of the 31st of December. This includes strong net free cash flow generation acquisitions for a total cash outlay of more or less EUR 640 million and the payment of dividends for EUR 169 million. A few words now on the robustness of the balance sheet and the liquidity of your group. These elements are important assets for Carrefour in the current context of rapid change in our industry and in the context of the health crisis. In 2020, Carrefour continued its active liquidity management policy, with notably the repayment of a EUR 800 million bond loan financed by the issuing of a new one, a new EUR 1 billion bond loan at a significantly lower rate. This, together with the strong increase in cash, reinforces the strength of our financial model. In February last, during the -- as we published our 2020 results, we presented investors with important changes in the group's capital allocation policy. The latter combines operational investments, ordinary dividends, continuation of the value-creating acquisition strategy and extraordinary return to shareholders. First, the dividend. Our momentum allows us to normalize our distribution policy and pertinent to almost 10 years of share-based payment options. The proposed dividend for 2020 is, therefore, EUR 0.48 per share, and will be paid entirely in cash. Payment will be made on 28th of May. As part of our targeted investment policy, we acquired at end of March, Grupo BIG in Brazil. This is a transaction carried out on very attractive terms with strong potential for synergies. And therefore, it will create strong value for the shareholders. It is expected to be completed during 2022. Finally, we initiated a share buyback program in early May for an amount of EUR 500 million. This operation demonstrates the confidence of management and the Board in the group's prospects and its ability to generate cash. This confidence is supported by 2 key elements. The first is the proper execution and success of the Carrefour 2022 plans. The objectives of the plan were all confirmed or raised at the time of publication of the annual results. They are confirmed again today. Second factor of confidence is the group's very good performance in the first quarter, particularly in France, where the commercial momentum is good. Sales rose by 4.2% on a comparable basis in the first quarter on an already high base last year, as customers made precautionary purchases in advance of the first containment measures. Performance was strong in Brazil despite a deteriorating health context, while growth is carrying on in Spain. In France, Carrefour has regained the positive sales and market share dynamic, particularly in its hypermarkets. The good results of your group are reflected in an increase in the share price of more than 30% since the last general meeting in May 2020. Thank you very much for your attention.
Alexandre Bompard: I would like to thank Matthieu for his presentation. And I would now like to hand over to Monsieur Laurent Vallee so that he can present the CSR objectives of our group as well as the changes relating to the governance of the company, and the remuneration of executive and non-executive directors.
Laurent Vallee: Thank you, Alexandre. So I'm now going to look into various different aspects of the group's social responsibility development, its governance and the remuneration of corporate offices. Firstly, with regards to Carrefour's group CSR, I would like to point out that Carrefour has a number of different activities. The good results of the company in terms of France -- sorry, the CSR and food transition index consists of 17 objectives of the product shops customers and employees, which are described on the slide that is shown. The performance measured in 2020 for this index reaches 115%. We've had a outperformance after 114% and 104%. This index is a tool for measuring the group's performance. It is monitored annually and is a criterion of the long-term incentive plan set up by group for its managers. It is also used to determine their variable compensation. This overall performance is the result of the many initiatives taken by all the group's employees as part of the Carrefour 2022 plan. Carrefour's extra financial performance is also assessed externally. These external assessments confirm the performance reflected in the CSR TA index. The DJSI, CDP, Vigeo Eiris and MSCI assessments all ranked Carrefour amongst leaders. According to DJSI, Carrefour has been one of the top-performing companies in this global index for social and environmental performance since 2017. With a score of 77 out of 100 in 2019, Carrefour is making steady progress for the Carbon Disclosure Project. Carrefour maintains a high level for climate, makes progress on forestry and obtains a first high rating for water. Finally, Carrefour received high scores from Vigeo Eiris and MSCI. This year, taking into account these past results, Carrefour is raising and renewing its ambitions by setting new targets for the period 2021 - 2025. Carrefour is raising its targets with the ambition to cover 100% of sensitive materials with a risk reduction plan by 2025. And on the climate change, in line with the new commitments announced in 2020, to which I will return in a moment. Among these themes on which Carrefour is setting new objectives are the commitment of 300 suppliers to the food transition pack or the implementation of key objectives of our animal welfare policy in all the group's geographies by 2025. An additional effort will also be made in the area of nutrition and health, where 6,000 products, whose recipes will be reviewed and a food offer contributing to the dietary transition for all. These indicators will be monitored and audited externally, and Carrefour will regularly report on progress. Among Carrefour's ambitions in terms of extra financial issues and the evolution of its business model, climate change is a key issue. In 2020, the group's ambitions have been revised, both on direct emissions for a reduction of 30% by 2030 and 55% by 2050; and on indirect emissions, with the ambition of reducing the group's indirect C -- GHG emissions by 29% by 2030. Carrefour is on track to meet these ambitions this year, and even exceeds this year's expected performance by reducing its direct emissions by 9.1% in 2021. The group has also committed its suppliers to a 20 megaton reduction in greenhouse gases by 2025. Carrefour is also a group committed to diversity and inclusion. Appointment of women to key positions are constantly progressing as is the feminization of management. And Carrefour has also raised its ambition in this area by setting a target of having 35% women among its managers by 2025. 2021 is also characterized by the commitment to a massive hiring of young people in France, the development of a new plan for diversity in Brazil, and the introduction of silent hour for people with autism in 3 countries, testifying to the group's commitment on all these issues. The commitments of the Carrefour group are completed by the actions of the Foundation. This year, the Carrefour Foundation financed 47 projects in France and abroad, with an endowment of EUR 6.75 million. In 2020, Carrefour was once again the largest private donor to food banks Restos du Cœur and Secours Populaire. The group distributed over 77 million meals worldwide. Specific actions were, of course, taken in the context of the health crisis, in particular, for the most exposed people and for local associations and hospitals. Carrefour is, thus, a committed company, driven by its covenant, which was once again very active in 2020. The presentation of this governance is functioning and its evolution is what I will develop now. The Board of Directors of your company is made of 16 members, and you can see on the slide that it is currently being projected, the composition of the Board in the year 2020. The report on the work of the Board of Directors made it possible to establish the proper functioning of the group's governance and our reference document contains supplement to the information I am about to give on this point. The Board of Directors and its committees met 24 times in 2020, with an overall attendance rate of 95%. The Board of Directors was very active this year due to the COVID crisis, which justified several dedicated meetings. As you can see, the gender balance and the independence rate of the Board of Directors comply with the requirements of the AFEP-MEDEF Code, more than 40% of women directors and a majority of independent directors. To ensure the proper functioning of governance, the Board has set up several specialized committees. Each committee in its field, is responsible for issuing opinions or recommendations to the Board and a report of its work is made by its chairman at the next Board meeting. The 5 specialized committees met during the year 2020. And you will note that the average attendance rate in the committees reached a very remarkable level, reaching 100% for all committee meetings. 9 directors are proposed for renewal this year for a period of 3 years, until the general meeting called to approve the accounts for the year, ending December 31, 2023. The list of these 9 directors is currently projected, and I will present them very quickly. The following: Mr. Alexandre Bompard, appointed in July 2017, has been CEO since the same date. His appointment having been ratified at the 2018 General Assembly Meeting. Mr. Philippe Houzé, who is Deputy Chairman of the Board of Directors and a member of the Governance Committee, the Audit Committee and the Strategic -- Strategy Committee, sorry, and has been on the Board since 2015. Mr. Stéphane Israël, Lead Director and Chairman of the Audit Committee, who was appointed 3 years ago. Mrs. Cláudia Almeida e Silva, Independent Director and a member of the CSR Committee, member of the Board since 2019. Mr. Nicolas Bazire, who is a member of the Evaluation Committee, the Audit Committee and the Strategy Committee has been a member of the Board of Directors since 2008. Mr. Stéphane Courbit, Independent Director and a member of the Strategy Committee and the Remuneration Committee, who is completing his first term of office. Mrs. Aurore Domont, Independent Director, Chair of the CSR Committee and member of the Governance Committee, is proposed for renewal at the end of her first term of office. Mrs. Mathilde Lemoine, Independent Director, is Chairwoman of the Remuneration Committee and member of the Audit Committee. She has been a member of the Board of Directors since 2011. And finally, Mrs. Patricia Moulin Lemoine, who was appointed in 2015, a member of the CSR Committee. She's also proposed for renewal. At the end of the general meeting, subject to the vote of the resolutions relating to these renewals, the composition of the Board of Directors will remain unchanged this year after several new members were appointed in the last 3 years. Also on the agenda of the General Meeting is the question of the mandates of the group's statutory auditors. In order to take into account the requirement for rotation of the figures resulting from the independent directors, it is proposed to the General Meeting to renew the mandate of Deloitte & Associés as statutory auditing -- auditors for 6 financial years. And to -- on the one hand determination of the mandate of KPMG as a statutory auditor, and on the other hand, determination of the mandates of BEAS as alternate auditors. And I'll come to the remuneration of the corporate offices. And first of all, the components of [indiscernible]. As you know, the say on pay system makes it mandatory for the General Meeting to vote on the remuneration of executive directors of this company. And with regards to the remunerations paid for 2020, your General Meeting adopted the following principles on May 29, 2020. Firstly, this remuneration is essentially subject to performance conditions. The annual fixed remuneration, which without performance conditions, represents 90% of the total compensation target, whereas 81% of the remuneration, its variable part, is subject to vote's conditions. Secondly, this variable compensation is based on 6 criteria: turnover; ROC; free cash flow for 15%, 20% and -- 15% and 20% respectively; NPS; CSR; and quality of governance for 10%, 20% and 20%, respectively. 80% of these objectives are quantifiable and 50% of these objectives are financial in nature. And its reading on the 23rd of March 2021, the Board of Directors, on the recommendation of the Remuneration Committee, noted the rates of achievement of the quantitative criteria and determined its assessment of the qualitative criteria in order to set the variable remuneration of Alexandre Bompard and decided to pay the variable part of his remuneration subject to approval by the General Meeting. With regard to the remuneration policy for 2021, the Board of Directors, on the proposal of its Remuneration Committee, has decided to propose to General Meeting, on the one hand, to maintain without change the fixed annual remuneration of Mr. Alexandre Bompard. On the other hand, to increase the ceiling of his annual variable remuneration and his long-term remuneration. With regard to the long-term compensation, the Board of Directors decided, as its previous years, to determine the long-term portion of Mr. Alexandre Bompard's compensation in the form of performance share grant. This change to the remuneration policy is submitted to the vote of the general meeting. And finally, with regards to the remuneration of directors, formally known as director's fees, the policy proposed through the general meeting is unchanged from last year and has not changed for several years. As you can see, it does not call for any particular comments. These, ladies and gentlemen, are the main features of CSR, governance and remuneration of corporate offices that were to be presented today. Thank you very much.
Alexandre Bompard: Thank you, Laurent. The information concerning the activity of your company has been communicated to you during the previous presentation. They are completed by the reports that have been made available to you and can also be found in the 2020 Universal Registration Document and the 2021 Notice on Meeting. I would now like to invite Mrs. Caroline Bruno-Diaz from KPMG to present the summary of the various reports of the Board of Auditors.
Caroline Bruno-Diaz: Good morning, ladies and gentlemen. On behalf of the Board of Statutory Auditors, I'm going to report to you on the exercise of our mandate for the year ended December 31, 2020. I suggest in accordance with the customs of this meeting to summarize the terms of our engagement and our reports, which are included in the Universal Registration Document. Our reports on the capital transaction are included in the Notice of this General Meeting. I would like to remind you that our firms and their networks audit the accounts of all the group's significant entities. The purpose of our work is to obtain reasonable assurance as to the fairness, regularity and true and fair view of the accounts, and that they are free of material and misstatements. In order to do so, we have implemented an audit approach that takes into account the evolution of the risk involved context, health crisis and the economic environment in which to group and its subsidiaries operate. Our approach is adapted to Carrefour's activities and businesses as well as its organization. Finally, our audit conclusions were presented to the general management, the Audit Committee and to the Board of Directors of your company. Our report on the 2020 consolidated financial statements appears on Pages 341 through 344 of the universal registration document and expresses an unqualified opinion. The key points of our audits of the concerned accounts are 3. The first concerns the assessment of tax risks in Brazil. The second key point of our audit concerns, the evaluation and accounting of rebates and commercial cooperation received from suppliers. And finally, third key point of our audit is related to the application of the IFRS Interrelation Committee's decision on the determination of the leaseholding within the scope of IFRS 16, which led the group to recognize an additional lease liability of EUR 686 million in [ health ]. In accordance with the professional service, we have highlighted in our report, the impact of this change in accounting policy, which was accounted for retrospectively as of the 1st of January 2019. We now turn to our reports on 2020 annual accounts, which can be found on Pages 366 through 368 of the Universal Registration Document, and which expresses an unqualified opinion with the observations. The key point of our audit concerns, the evaluation of Carrefour France SAS equity, securities and the allocated merger goodwill, which are not separate to any information or observations and the merger goodwill, which are subject to the annual impairment tests. And we have also verified information provided in the management report and on the documents sent to shareholders. And we attest of the [ assets  in France the information and the composition and benefits paid or granted to corporate offices as well as the commitment made in their paper as represented in the Board of Directors' report on corporate governance. A special report on the regulated agreements is included on Pages 193 and 194 of the universal registration document. Our special report does not mention any agreements authorized and entered into during the past financial year that are subject to approval of the General Meeting. In addition, 2 agreements [ supervised  in previous years continued during this year. They concern the revolving credit agreements entered into in January 2015 and May 2017 with a banking syndicate of which BNP Paribas is a member and with -- and which were subject of an amendment in June 2019. Finally, our reports on the resolutions are included on Page 52 to 59 of the Notice of Meeting for this General Meeting. Our reports are related to the delegation of authority or powers and authorization to be given to the Board of Directors in order to carry out a certain number of transactions, which are summarized on the screen and which a number of draft resolutions in conclusion of our work. We have no observations to make on these transactions, which are in accordance with the conditions provided in the commercial code. And the report of the Board of Directors does not specify the methods of determining the issue, price and context we cannot give our opinion on them. We will prepare a supplementary report, if necessary, when the authorization to issue shares are used. Thank you for your attention. And I will now give the floor back to the Chairman.
Alexandre Bompard: I would like to thank Mrs. Caroline Bruno-Diaz for this presentation. With regards to answers to shareholders' questions, I will now give the floor to Laurent Vallee.
Laurent Vallee: Thank you, Alexandre. As I mentioned at the beginning of this assembly, your company has set up a system allowing you to ask questions, corresponding to the questions asked orally in the meeting via the dedicated e-mail address accessible from the 10th of -- to the 20th of May, sorry. No questions were received by the company. Now we did receive recent questions in accordance with the commercial performance, 3 individual shareholders and 4 initial shareholders. They focus on issues related to corporate social responsibility and governance. They've been discussed by your Board of Directors and are effected in the written answers published on the company's website.
Alexandre Bompard: Laurent Vallee will now present the resolutions that have been submitted to the approval of our assembly as well as the results of the votes.
Laurent Vallee: So the first resolution with regards to -- the purpose of the first resolution is to prove the annual accounted net results. This resolution is adopted by the vote. The purpose of the resolution is to prove the consolidated results. This resolution is adopted by 99%. Third, on the allocation and setting dividends, is adopted by 97.9%. Fourth resolution, on approval of the regulated conventions, it's adopted at 99%. The fifth resolution pertaining to the renewal of the mandate of Mr. Alexandre Bompard is adopted at 81.71%. Sixth resolution, pertaining to the renewal of the administrator's mandate of Mr. Philippe Houzé was adopted at 70.51%. Renewal -- seventh resolution, pending to the renewal of the director's mandate of Mr. Stéphane Israël, is adopted at 97.28%. Number 8, pertaining to the renewal of the directors mandate of Madam Cláudia Almeida e Silva is adopted at 97.73%. Ninth resolution, pertaining to the renewal of the mandate of Mr. Nicolas Bazire, was adopted at 60.09%. Resolution #10, pertaining to the renewal of the director's mandate of Mr. Stéphane Courbit, is adopted at 91.41%. Resolution #11, pertaining to the renewal of the administrator's mandate of Madam Aurore Domont, is adopted at 93.5%. Twelfth resolution, pertaining to the renewal of the administrator's mandate of Madam Mathilde Lemoine, is adopted at 85.55%. Resolution #13, pertaining to the renewal of the administrator's mandate of Madam Patricia Moulin Lemoine, is adopted at 82.02%. Number 14, pertaining to the renewal of the auditor's mandate, Deloitte & Associés and the end of BEAS is adopted at 96.05%. Resolution #15, pertaining to the statements of the end of the KPMG SA and Salustro is adopted at 99.96% through the end of their mandates. 16 resolution, approval of the remuneration of the directors mentioned that Article L. 22-10-9 of the trade law is adopted at 70.16%. Resolution #17 on the elements composing the total remuneration and anything paid in any nature to Mr. Alexandre Bompard, the CEO for 2020, is adopted at 63.56%. Resolution 18, approval of the remuneration policy that the CEO for 2021, is adopted at 63.25%. Resolution 19, approval of the remuneration policy for the administrators for 2021 is adopted at 97.89%. Resolution #20, pertaining to the authorization of a period of 18 months for the Board to operate on shares of the company is adopted at 97.84%. Resolution #30, pertaining to the powers to carry out formalities granted to the Chairman, is adopted at 97.99%. As regards the extraordinary resolution, Resolution 21, authorization for a period of 18 months given to the Board in order to reduce the capital by canceling of shares, is adopted by 97.98%. Resolution 22, delegating competencies for 26 months to the Board in order to issue shares, and with a maintaining of the DPS of shareholders for a maximum amount of EUR 500 million, is adopted at 96.91%. Resolution 23, delegation for 26 months to the Board in order to issue shares with a suppression of the preferential right for shareholders allocation within framework of a public offer other than those seen an Article 411-2.1 (sic) [ Article L. 411-2.1 ] of the monetary and financial code for remuneration of shares is adopted at 94.72%. Resolution 25, period of -- the 25th resolution is to propose that you delegate to the Board of Directors, all powers to increase the number of securities to be issued for each of the issues with maintenance of cancellation of the preferential subscription right decided by virtue of the 22nd, 23rd and 24th resolution within 30 days of the closing of the subscription with another 15% of the initial issue and at the same price, that return for the initial issue, this authorization will take effect as of today for a period of 26 months. Resolution 27, the purpose of this resolution to delegate to the Board of Directors all powers to increase, on one or more occasions, the share capital by incorporating into the capital all or part of the premiums, reserves or profits to be carried out by the free allocation of new shares or by increasing the nominal value of these safe new shares by a combination of these 2 processes, up to a maximum nominal value of EUR 500 million. This authorization would take effect as of the total -- as of today, for a period of 26 months, adopted at 97.81%. Resolution 28 propose that you delegate to the Board of Directors all power to increase their shares of capital to a maximum nominal amount of EUR 35 million, adopted at 97.43%. And finally, the purpose of the 29th resolution is to give to the Board of Directors all powers to proceed with limit of 0.8% of the share capital with free allocation of existing shares or shares to be issued by the company to the benefit of employees and corporate offices of the company and of the company or economic interest groups that are directly or indirectly linked to it, adopted.
Alexandre Bompard: I would like to thank Laurent for his intervention. Ladies and gentlemen, this meeting is adjourned. I would like to thank you on behalf of the Board of Directors. We have no further business on the agenda. I, therefore, close this assembly. [Statements in English on this transcript were spoken by an interpreter present on the live call.]